Operator: Good afternoon ladies and gentlemen and welcome to the Caesars Entertainment Inc. 2020 Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the conference over to your host Mr. Brian Agnew Senior Vice President of Finance Investor Relations and Treasury. 
Brian Agnew: Well, thank you, Ashley and good afternoon to everyone on the call. Welcome to our conference call to discuss our third quarter 2020 earnings. This afternoon we issued a press release announcing our third quarter financial results for the period ended September 30, 2020. The A copy of the press release is available on the Investor Relations section of our website at investor.caesars.com. Joining me on the call today are Tom Reeg, our Chief Executive Officer; Anthony Carano, our President and Chief Operating Officer; and Brett Yunker, our Chief Financial Officer. Before I turn the call over to Tom, I would like to remind you that during today's conference call we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance on them. Forward-looking statements are also subject to the inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. Caesars Entertainment undertakes no obligations to revise or update any forward-looking statements to reflect events or circumstances that occur after today's call. Also during today's call, the company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed and the reconciliation of these differences between each non-GAAP financial measure and then the comparable GAAP financial measure can be found on the company's website at investor.caesars.com by selecting the press release regarding the company's 2020 third quarter financial results. I will now turn the call over to Tom.
Tom Reeg: Thanks Brian. Good afternoon everybody. We're back to report our third quarter earnings. As you look at our income statement, keep in mind that Eldorado Resorts was the surviving entity in the transaction. We changed our name to Caesars Entertainment. So, there's a lot of noise in the financial statements you're looking at 2019 numbers that are legacy Eldorado. You're looking at 2020 numbers that are legacy Eldorado only through July 20th, and then the combined company through the end of the quarter. We're going to cut through and get you to what we think are the key points in the quarter. Our same-store adjusted EBITDA in the quarter was a little over $460 million which was a little ahead of the wide end of the range of our pre-release during our equity offering. We're quite pleased with the progress that we've made since closing the transaction. We've seen quite a bit of opportunity within Caesars. Some was expected some were nice surprises. We continue to believe that we will bring the consolidated EBITDA margin in a post-COVID world at least to the mid to high 30s if not 40% EBITDA margin in the consolidated entity. Vegas, Anthony will get into detail, but we did $60 million of EBITDA in Vegas and keep in mind that was with dragging Rio and Cromwell and Planet Hollywood were closed for the whole quarter. Planet Hollywood and Rio have opened since valleys was also closed for part of the quarter. So, we are carrying operating losses relative to those assets to get to that $60 million number. Our occupancy for the quarter in Las Vegas was just under 60% just few basis points under 60%. We're running in the mid-50s on weekdays now and weekends were well into the mid to high 90s. So, we've been heartened by our performance. Clearly, that's a key piece of evidence on the strength of the Caesars Rewards program, Pavan Kapoor Caesars who we inherited on the yield management side is a wizard with this stuff and has done a tremendous job for us in Vegas and we've moved him throughout the company in this area. So, we're excited with what Pavan and his group will bring to the table for us. As I said the merger closed on July 20th. So, obviously, that was during the quarter. Also we announced a cash offer to acquire William Hill during the quarter for 272p per share. That shareholder vote will take place on November 19th as is -- as needs to be the case under U.K. Takeover code. We cash confirmed the entire amount for that transaction including an equity offering that was just shy of $2 billion on October 1 of this year. We entered -- and we expanded our relationship with ESPN in the quarter on the sports betting side which we think is an exciting piece for customer acquisition for us. We've got a co-exclusive link out across all ESPN channels with DraftKings and we're excited with what that will bring to the table. We were also active on the asset sale front. We closed the sale -- or we announced the sale I'm sorry Tropicana Evansville for $480 million to Twin River and GLPI just about a week ago. You should expect to see more news in Indiana prior to the end of the year from us. And I would say a couple of things that I'd stress as takeaways and questions that I get on the operating side of the business, if you annualize the costs that are out of the business this quarter excluding gaming taxes, which obviously reduce as gaming revenue goes down. Our run rate cost reduction is about $2 billion from pre-COVID levels. There's obviously a lot of talk about what will come back, what won't come back. A lot of those costs are never coming back as I said, over the last several quarters. None of that has changed. As I said, I think, we're going to get to 35% to 40% EBITDA margins in a minimum. It's enjoyable from my seat to see our peers in the space reporting the same types of cost savings opportunities that we've been talking about for many years and to see Las Vegas locals margins in excess of 40% for the quarter and a couple of our peers. That's a road map to what's coming. You think about what revenue is missing from our business. It's the highest flow-through revenue in the business. It's hotel room rate and occupancy in Las Vegas. And what I --- I told you two quarters ago prior to the reopenings that you were going to be surprised with what regionals could do on the margin side. And we had another quarter where if you look at our peer regionals without destination properties, EBITDA was up substantially. Anthony will get into that. What I'd tell you today is, when we get into a post-COVID world, the pent-up demand you're going to see for gaming in general and Las Vegas in particular is going to be beyond your wildest dreams. Your -- and the flow-through that you're going to see in the sector is unlike anything that's happened historically in this space. And so, I can't tell you when is that going to happen. I can't -- I wish I could answer when the public health situation will change. But as we look at the pieces of our database that are missing or lagging they're the most profitable pieces of our database. It's the 55 and over cohort that's not coming. These are people that are not going anywhere and are not spending and are going to come out of this with significant pent-up demand and spending power. And it's going to be extremely powerful what you'll see I think across the entertainment space but particularly in casinos and particularly in Las Vegas. The other question I get all the time is about sports and online. And I'd tell you our New Jersey casino business continues to ramp up even after physical properties reopen. We're now on a run rate for $150 million of annual revenue out of the iGaming business in New Jersey at margins in the mid-30s. So we're extremely excited about that business. We think controlling our destiny in this space positions us to be a long-term winner. The ability to wrap our iGaming and our iCasino into a single wallet attached to your Caesars Reward database with the ability to earn and use points in any way that you'd like online or offline. Our customers truly get an immersive experience in this company. And you see it with what we're doing in Vegas. We think that's going to translate into the online business. And I don't really have a road map to what the ultimate size of this business will be. But I do know that if you're betting against the American people's propensity to gamble or you're betting against the de lure for states to attract tax revenue when their budgets are in the place that they are today that's been a losing bet since the dawn of civilization. So I feel real good about where we are where we're headed and I'll turn it over to Anthony. 
Anthony Carano: Thank you Tom and good afternoon to everyone on the call. I'd like to take a few minutes to provide you with some operational highlights for our portfolio during the third quarter. Before I begin, I want to express my sincere gratitude to all of our team members for their hard work and dedication during the COVID-19 pandemic. Our operations performed extremely well during these trying times due to the outstanding service that our guests receive on a daily basis from all of our great team members. Our success this quarter is a clear reflection of the commitment our team members who continue to work hard each day to provide a safe, healthy and exciting environment for our guests and their fellow team members. Now turning to operations. We now have 55 of our 56 properties reopened. As we mentioned in our press release, our regional properties are performing strongly. Within our regional segment and excluding destination markets like Atlantic City, Reno, New Orleans and Tahoe, our regional properties generated a revenue decline of 11% and EBITDA growth of 10% leading to over 700 basis points of margin expansion. 10 properties had margin growth of over 1000 basis points. In total and including the destination markets in our regional portfolio regional EBITDA for the third quarter was $447 million. Now turning to Las Vegas and our regional destination markets. Starting with Las Vegas, we now have every property open except the Rio. We generated $60 million of adjusted EBITDA in Las Vegas in the quarter with operating performance improving each month throughout the quarter leading to a strong month of September. We continue to see strong occupancy trends on the weekend in excess of 90% with midweek occupancy still running the 50% to 60% range. We were encouraged when Governor Sisolak lifted the meeting caps from 50 to 250 people which has allowed us to host some small group meetings in Q4. Excluding the closed properties during the quarter, property level EBITDA was approximately $100 million. Our destination markets in the regional portfolio displayed sequential improvement in operating performance throughout the quarter leading to September showing -- displayed sequential improvement in operating performance throughout the quarter leading to September showing material improvement in the rate of EBITDA decline versus July and August. These regional destination properties with large hotel room portfolios are slowly recovering as operations return to normal and customers are returning to the properties. Overall, our immediate actions to reduce operating expenses at our reopened properties contributed to a leaner cost structure that we believe will contribute to sustainable EBITDA margin expansion. We are encouraged by the performance of the regional markets and the sequential rate of change in property performance within our destination markets during the quarter. With that I'll now turn the call over to Bret for some additional insights on the third quarter and details on our balance sheet and capital structure. Bret? 
Brett Yunker: Great. Thanks Anthony. As everyone on the call is aware we had quite an active third quarter even by our own standards. We closed on the Caesars merger on July 20 and subsequently announced the proposed transaction to acquire William Hill PLC on September 30. As we mentioned in the press release our quarter ending balance sheet was impacted by the cash required to be placed in escrow for William Hill in connection with the Rural 2.7 announcement. On October 1, we completed a public equity offering of 35.6 million shares generating net proceeds of $1.95 billion. Additionally in early October we entered into a £1.5 billion interim facilities agreement with two large international banks. Execution of this committed debt finance allowed us to release $2 billion of cash that have been escrowed on September 30, allowing us to fully repay a $900 million draw on our parent revolver and return excess cash liquidity to our balance sheet. As of today both of our revolvers are undrawn and our unrestricted cash position is over $2 billion. Based on current operating trends, we expect to end the year with a similar level of cash on hand and 0 revolver balances. As I mentioned on our second quarter call our approach to maintenance and growth capital investment will be focused and disciplined. Over the next 12 months we expect to spend approximately $300 million to $350 million on CapEx excluding any Atlantic City-specific CapEx that's already been escrow. With that I'll turn it back to Tom. 
Tom Reeg: Thanks Brett. Let me give you -- before we go to questions let me add a few comments on cadence of business since the quarter. Sequentially it continues to get stronger. October was better than September. September was better than August. If you think about what that looks like in Las Vegas, I'm going to give you some numbers that I'm not -- we're not in the habit of giving you but given the cloudiness of business as you look at the COVID world, I think it's useful. If you look at EBITDAR by month for us in Las Vegas. July was $10 million positive and these are aggregate numbers to include the losses from properties that were shut down. So $10 million in July $16 million in August, $34 million in September and October should push $50 million. We've got preliminary numbers. We've not closed the month yet. So Vegas continues to get better for us. We're not going to be talking about shutting properties mid-week. Obviously, we're talking about opening additional properties. We opened Cromwell last week. I'd expect to see Rio open before the end of the year. On the group side, the second half of 2021 and beyond, have record business on our books. Q2 to Q4 2021 are well ahead of our 2019 pace, and bookings were strong in the third quarter basically a normal level of bookings. If you look at the Caesars Forum Convention Center, which was opened for about 1.5 days before everything shutdown from COVID. Caesars Forum has 172 events, 1.6 million room nights contracted worth over $600 million in rooms and banquet revenue and 78% of that business is new to Las Vegas. And what I tell you is none of that matters, if the public health situation does not improve. But we are heartened by Governor Sisolak recent movement toward socially distance meeting business, and his statement that he's looking to go to 50% capacity by the beginning of 2021. That should help us save some first half 2021 business. But first quarter, you should expect we'll look very much like the last three quarter -- the second quarter third quarter of 2020 and this quarter as well. And with that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] And your first question comes from Steve Wieczynski with Stifel.
Steve Wieczynski: Hey. Good afternoon, guys. So Tom, I want to start in Vegas. And if you look at this point, you said your occupancies are running above 90% on the weekends, mid-50s weekdays. Is there any way to kind of think about that weekend kind of traffic? How much of that business in terms of the mid-90s is kind of a cash business versus whether that's a comp business or a reward redemption?
Tom Reeg: So you should presume that if you look at our historical mix Steve, the convention business has been replaced by casino block business, and that the other segments remain relatively constant as you look back.
Steve Wieczynski: Okay. Got you. And then the comments you made about demand is going to be, I think you said beyond either My Wildest Dreams or Your Wildest Dreams. Was that mostly related to Vegas? Is that kind of across the entire across the entire U.S.?
Tom Reeg: It's across the entire U.S. When I tell you that, our 55 and over group is significantly lagging the rest of the business, that's throughout the country. And those are the people that tend to skew to older population that are not leaving their houses right now. My mother is one of those. And when you get a vaccine and you have freedom movement and feel better in terms of the likelihood of contracting COVID, I think that the pent-up demand for Vegas and for entertainment generally is well beyond what anyone is thinking today. 
Steve Wieczynski: And have you seen any change in that 55 and over kind of crowd recently?
Tom Reeg: It's -- everything is kind of grinding a little bit better every month, month-over-month, but it's baby steps.
Steve Wieczynski: Okay. And then last question. So with William Hill, and I'm not sure how much you can say given the pending, the deal hasn't closed yet. But let's say that deal does go through and you talked about that single app. Do you have any idea yet in terms of when that single app would be deployed?
Tom Reeg: I'm extremely limited in what I can speak to on William Hill outside of the four corners of the document. You can presume that we were already working in that direction in the former iteration and we would continue to work in that direction post-closing.
Steve Wieczynski: Okay, great. Thanks, Tom.
Operator: Your next question comes from Thomas Allen with Morgan Stanley.
Thomas Allen: Hey, how are you? So, it's now been about 3.5 months since you bought Caesars. Can you talk a little bit about additional synergy opportunities you've found that you've kind of been under the hood for a bit longer? Thanks.
Tom Reeg: Yes. I mean so, the whole synergy discussion as we talked about was turned on its head by COVID. It's really a question of what comes back rather than what do you subtract. But, Caesars ran differently than Eldorado just from a basic day-to-day operation standpoint. We run our properties off of daily P&Ls across every property that we own. Caesars measurement of EBITDA was far less frequent than that. And there wasn't a lot -- the operators didn't really have the tools to compare themselves across properties within the system. So when we were Eldorado as a private company and we were in two markets, we could look at those two markets and say what are we doing well in one versus the other. When you've got 55, that ability becomes much, much stronger. That's a benefit of scale. And Caesars was not taking advantage of that in our estimation. And you can imagine that we are, what took us the better part of two months to get to a daily P&L and we're still working through the kinks in the Caesars system, but we just went through our first round of quarterly reviews and it's eye opening for the operators to see, when I'm looking at each line item, each department and versus others in my market or other similar properties, things that I was unaware that I was inefficient in become obvious. And that sort of block -- basic blocking and tackling is what we're working through now. And that's why I tell you, I have an extreme level of confidence in hitting our margin targets here. 
Thomas Allen: That's helpful. And then just on the sports bar and gaming, any updated thoughts around branding?
Tom Reeg: You should expect that we will use the Caesars brand for Caesars operated -- owned and operated properties. And for third-party properties, you should expect that the William Hill brand will live on in the U.S.
Thomas Allen: Helpful. Thank you.
Tom Reeg: Thanks, Thomas. 
Operator: Your next question comes from Jared Shojaian with Wolfe Research. 
Jared Shojaian: Hi. Good afternoon, everyone. Thanks for taking my question. Tom you talked about October, Vegas pushing $50 million in EBITDA. I know there's weird seasonality with Vegas right now in the fourth quarter without the group business and the convention business. Can you just help us think about November and December? Obviously, I know, it's dependent on a lot like New Year's Eve and other holidays, but how should we think about those two months? Are you assuming that sequential step-up you've been seeing pretty consistently can continue? Or is there some other factors to consider there?
Tom Reeg: No. As you know, you're hitting a normal soft period in Vegas that November and then pre-December -- or pre-Christmas December. But what we're seeing is the reduction in volumes is not nearly what it's been historically at least in our business. So we feel good about posting a strong fourth quarter number in Las Vegas.
Jared Shojaian: Okay. Thank you. And then I'll try to tackle this question a little differently. But if I think back to your most recent synergy target, the $800 million cost savings, the $100 million of revenue synergies, should we assume the entire $800 million of opportunity is already in that $2 billion number of costs that have been taken out. So really it's entirely just a matter of getting the revenue back? Or are there still some additional costs you think you could take out and then presumably, the $100 million of revenue synergies is still outstanding. Is it fair to say you really haven't gotten any of that yet?
Tom Reeg: Yes. The revenue synergies, yes, absolutely. On the cost side, the one piece that came through COVID relatively unscathed on the Caesars side was corporate. You can see in our numbers that we cut about $200 million from -- on an annualized basis from corporate and that's what we expected to do. And you can see that that's complete. You should presume the rest of the cost savings are included in those numbers. But if you think about, we had an $800 million target between cost and revenue, $100 million was revenue. So $700 million of costs, they did about $11 billion -- the combined company is about $11 billion of revenue at a -- let's call it, a 28% margin for 2019. So, if we were to get to our 35% left side of the range that I've been talking about, that's almost $800 million of just cost savings. And, obviously, if we get to 40, there’s more than that.
Jared Shojaian: Okay, great. And maybe just to quickly follow up on that. I think you're divesting a lot more properties than you had initially expected when you announced the deal, is that positive, negative or neutral to the margin?
Tom Reeg: It depends on the properties. I would say, of the properties that we've sold and that we're anticipating selling, all of those would be -- removing them from the equation would be accretive to that overall margin target.
Jared Shojaian: Okay, great. Thank you very much for the time.
Operator: Your next question comes from John DeCree with Union Gaming. 
John DeCree: Hi, everyone. Thanks for taking my questions. Tom, Bret I wanted to ask you guys a little bit about deleveraging from here and the capital that you raised this quarter earmarked for William Hill. You talked in the past about at some point selling a strip asset just to help delever more quickly. But based on what you see now and the amount of costs that have come out of the business and your kind of outlook for margin how do you approach deleveraging from here? Is it going to be through EBITDA growth? I mean you have some asset sales that you just talked about will help. But just curious to get your thoughts on the cadence over the next 12 months or 18 months ways that you'll work down leverage. 
Bret Yunker: Yes, it's really going to be a combination of all of the above. Again we're hopeful that we're nearing an inflection point here where we start generating strong free cash flow post this health crisis. So that's obviously number one alongside that we've been announcing asset sales and we expect to continue announcing them going forward. So that will be part of the package. And Las Vegas, we want to get past the health crisis and then think about monetizing an asset here. So all three of those alongside the denominator growing sequentially is going to help us deleverage in the next 12 months to 24 months. 
John DeCree: Thanks, Bret. And Tom on the sports and Isle Casino strategy assuming the transaction with William Hill proceeds and you look at your portfolio of brands and assets do you see any need or opportunity to add additional either services or brands or partners for that portfolio? You've got a big one with ESPN. Are there is there still more to do as you continue to build out business? 
Tom Reeg: This is all about building market share profitably and making your customers as sticky as possible. And so we think we have the building blocks to do that with what we'll have post the William Hill transaction, but we'll always be looking to improve upon that. And I've found it interesting to see non-gaming entities look into this space just the IAC movement into MGM, obviously, what ESPN did with us and DraftKings. Obviously there are a lot of companies out there who are looking for share of wallet and screen time on your phone. So it wouldn't surprise me if you see more of that as we move into the future. And if there were a partnership or a transaction that would improve our position and we could execute it in a manner that was that created additional debt value for our stakeholders we would certainly take a serious look. 
John DeCree: All right. Thanks for taking questions guys.
Operator: Your next question comes from Chad Beynon with Macquarie. 
Chad Beynon: Hi. Good afternoon. Thanks for taking my question guys. I wanted to drill into the regional gaming EBITDA $44 million or I guess, maybe more importantly the 33% margin. You noted that it was hamstrung by some of these regional, I guess, destination properties in Lake Charles being closed. I was wondering if you were willing to I guess help us think about what the drag was or if these properties had been punching at the same level as the other assets what the result would have been? Any more color just on kind of the impact there and how to think about that going forward? Thanks
Tom Reeg: So you've got New Jersey, Reno and New Orleans that are your biggest drags obviously like Charles this quarter given the storm. But in the -- in terms of materiality, but three are in Atlantic City, Reno, New Orleans. Atlantic City opened very beginning of the quarter. You had no alcohol service, you had no food service and significant limitations on capacity that lasted for a significant period of time during your peak season in Atlantic City. So Atlantic City comps, obviously look poor. In Reno, we had the silver legacy tower open. We had a fair amount of Eldorado rooms open. We did not have the Circus Circus 1600 rooms opened at all. Again in the seasonal peak for the market. And then New Orleans – in New Orleans is a significant national database receiver of business. People not traveling New Orleans as a market as their restrictions are stricter than the state itself. You have legislative mandated labor count in New Orleans and you have a text system where we paid a fixed rate in the quarter versus the variable rate that we typically pay. So those three properties are significant drags as we move into fourth quarter and you get into the shoulder season Reno Atlantic City look a lot better because you're doing pretty well on a comp basis midweek in those markets when properties weren't full this time last year. And the weekend drop-off is not nearly what it was in the summer. New Orleans still has all of the same issues that it had in the third quarter.
Chad Beynon: Great. Really helpful. And then Bret just on the cash flow side could you just remind us in terms of what the annual or quarterly cash interest and cash rent will be a little bit of noise in the reporting here but that would be helpful.
Bret Yunker: Yes putting GAAP aside on a pure cash basis we're roughly $2 billion all in of annual master lease, rent payments and interest expense so you can just divide that by four for the quarters. 
Tom Reeg: About $1.2 billion of rent and $800 million of interest. 
Chad Beynon: Great. Thank you, guys.
Operator: Your next question comes from Dan Politzer with JPMorgan.
Dan Politzer: Good afternoon, everyone. Thanks for taking my questions. I was hoping that you could give maybe an update on your iGaming rollout and when we could expect to see your launch in Pennsylvania more formally at least. And maybe if there's any plans for Michigan and if you have a market access agreement there?
Tom Reeg: Yes on Michigan and intention to roll out there Pennsylvania I don't know...
Bret Yunker: Yes. We're live in Pennsylvania, Dan right now. We're rolling out more product and more games as every day and week passes. So we're expecting to see incremental opportunities in 2021 as these new products are rolled out. So we would be optimistic on sort in Pennsylvania in 2021. Also in the state of New Jersey we're going to be launching live dealer on the Caesars side for iGaming. So that's an exciting opportunity as well.
Dan Politzer: Got it. Thanks. And then in Virginia there was recently passed legislation that legalized gaming in Danville, where you talked about building a casino. Could you maybe talk to us about – a little bit about the project potential cost and return the competitive environment there and how you're thinking about this at a high level?
Tom Reeg: Yes. So the project that was approved, we'd expect 20% returns on roughly a $400 million investment. Keep in mind as you look at that project that's in the radius of the Cherokee property that we operate in North Carolina and the tribe has the opportunity and the option to opt in up to 80% of the equity of the Danville property and that became available to them upon the passage the vote on Tuesday. So it's too early to say where that will eventually end.
Dan Politzer: Got it. Thanks so much, guys. Appreciate it.
Operator: Your next question comes from David Katz with Jefferies.
David Katz: Hi, afternoon, and thanks for taking my question. I wanted to ask about the WH acquisition and essentially why now and the degree to which you get closed on it what kind of tech investment and/or marketing spend you envision might be required to be a leader with it right would be successful with it? 
Tom Reeg: Yes. So we – as we looked at the opportunity in the space, as I've said, I think this is the most significant growth opportunity in the casino space since River Boats were legalized in the '90s. We were looking at the partnership that we brought in from the Eldorado side where if you recall we entered that partnership knowing that Eldorado's brand was unlikely to play on a national basis. We wanted to form a partnership with a respective sports betting operator that had a national strategy where we could participate in the upside. We subsequently bought Caesars, who obviously has a very different brand situation than Eldorado and it became clear that we have a brand that can resonate on a national level. We've got a database that can feed into that business. And we had been talking about how should we proceed with the partnership. If you recall the partnership included sports betting and not include sports betting and not Internet casino. If you're going to get to a single wallet solution in both. So it really wasn't ideal for either partner in the current landscape. So as we looked at potential solutions, it became clear to us that the best answer for us was to control our own destiny here. And so we started discussions about a purchase and ended up where you saw us end up. On the marketing question, the combined company here, the combined pro forma entity iGaming and sports does about $100 million. We'll do about $100 million in EBITDA, positive EBITDA, not the $200 million, $300 million of negative EBITDA that you're accustomed to in the space it will do $100 million of positive EBITDA. That includes all of the marketing that we're doing now. So if you see us ramp-up marketing, it's from an EBITDA positive position. In terms of the tech spend William Hill has been spending a significant amount of capital, developing its Liberty platform that rolled out in New Jersey to strong reviews. They're in the process of continuing to roll that out throughout the U.S. You're never going to stop spending on tech, but I don't see a significant material tech spend that's – you should be plugging into your model that's going to be a giant stock of cash. You should be thinking of $10 million, $20 million a year neighborhood.
David Katz: Okay. And I recall, I hope I have your terminology correct, but the notion that iGaming and sports betting may warrant its own brain at some point. How have you thought about making sure that that business can grow and achieve what it needs to achieve under your roof versus its own roof?
Tom Reeg: So, it will be an unrestricted sub of Caesars Entertainment upon closing, post the Caesars acquisition Eric Hashan and Chris Holden out of the Caesars side agreed to stay as co-President of that business for us. Christian Stewart on the operations side has been invaluable in this process for us will remain involved. So you will see it as it – it will operate as a subsidiary of its own you will be able to see the numbers of it on its own then the question becomes what's the best structure from a capital markets perspective. And we have time to make those decisions. The expectation at the outset is it will be a wholly owned unrestricted sub of Caesars Entertainment, will not have its own currency. But as you know, we are 100% focused on driving value to our shareholders. And if the right answer is it becomes a separate entity with its own currency. You might see us head in that direction in the future. 
David Katz: Great. Thank you so much.
Operator: Your next question comes from Barry Jonas with Truist Securities.
Barry Jonas: Hey, guys. I wanted to start with Vegas. Can you maybe just talk about the reintroduction of entertainment? How profitable do you think that can be either directly or indirectly? And then also, what's been the response so far to the return of paid parking? Thanks.
Tom Reeg: Yeah. So, on the question of entertainment, we're absolutely thrilled that we've seen movement in that area and the ability to operate with our – some fairly small venue entertainment across the city. What you're seeing come back. You're not seeing headline entertainment come back. You're not seeing big production shows come back. What you're seeing are the 500, 600 seats that are now offering 100, 200 seats. It's not a hugely profitable business on its own, but it creates additional reason to visit the market and that's important to us. Every piece that we get that becomes another reason for someone to make the move to either drive here or fly here and stay in the market is good for the whole market. So we're extremely pleased that we're able to offer entertainment today. The initial response has been extremely strong and we're happy to have it back. Now, the issue of parking, you got a heavy drive-in business now. As I said, we're mid-90 to high 90s occupancy on the weekends as you – and you know that we have kind of 50-yard line real estate on strip. So what we were finding was our best customers were having difficulty finding parking in our garages, even if they had a lodging reservation. And so what we wanted to do was, to bring back parking – to bring back parking fees, as kind of a hurdle so that our best customers can get to the property. If we – if you are significant Caesars reward customer you're a lodger or you're a local you're not paying for parking. And to drive home the point that, this was for those purposes and because of the situation that we've seen in Nevada, we – as we implemented we said, we're going to donate all of our profits from parking for this quarter and next to local charities that support the community and those that have been displaced by COVID. So the response has been overwhelmingly positive, from the city and from our customers.
Barry Jonas: That's great. And then just a follow-up, how are you thinking about, I guess, OpCo mix to the business now? Tom in the past, you've talked about sort of like a 50-50 mix. Is that still the goal once the dust settles?
Tom Reeg: Yeah. You shouldn't see us doing sale-leaseback transactions of -- or sales of real estate that will skew that. As you've seen us in the past we've utilized the propco market for financing typically for transactions, so were there something to come up that, made sense. It could be a tool that's used. But I don't expect us to be particularly acquisitive from here so you shouldn't see much movement on the real estate side.
Barry Jonas: Great. Thank you so much.
Tom Reeg: Thanks, Barry.
Operator: Your next question comes from Shaun Kelley with Bank of America.
Shaun Kelley: Hi. Good afternoon everyone. Two questions, just wanted to go back to the, sort of regional margin performance. If we look at the kind of the numbers on a core basis, let's talk about those 700 basis points. Is it fair just as we think about, continued recognition of some of the synergies in some of your initiatives that 700 basis points could actually improve or accelerate from here? Or do you think this is a good reflection of what the ability of the business can be, when everything else starts to settle in?
Tom Reeg: You should expect that the -- that it can continue to grow, because as I talked about earlier, what's missing from the business is some of your highest flow-through revenue. So as that starts to come back, into these markets. And I'm thinking particularly of Atlantic City Reno and New Orleans, flow-through is quite high. And their contribution to the total regional pie, in a post -- in a post-COVID world, should drive the entire regional sector margin higher.
Shaun Kelley: That's really helpful, Tom. And then sort of a separate, but big picture strategic question, so there's been some discussion as it relates to William Hill and I guess the bigger kind of picture strategy here, as it relates to this kind of single wallet or access to the customer probably via an app. And I'm just kind of curious like Caesars always took a pretty centralized or increasingly moved to a centralized marketing approach. Tom and Eldorado, I think without mischaracterizing, you guys were always pretty focused on a decentralized approach, to really accessing the customers and empowering, some of the local property managers. How do you think about that in the digital realm? So just sort of, how do you kind of like connect all this together, as it relates to software and one vision of the customer? Does it sort of need to be centralized? Or can you balance those two approaches? And how would you sort of go about doing it? Or does anything need to change?
Tom Reeg: I think you should think about it as to, how we operate the entire business. What will differentiate us in this space is the stickiness of our customers, the immersion in our network. If you think about -- I know your -- in the pre-COVID world, you'd be a frequent traveler like I was. Think of the gymnastics you would go through, to make sure that you're flying on your favorite airline or you're staying in your hotel, where you've got the most points. That's what we've got in the Caesars Rewards system. And it's a much broader relationship than just, how much money did I give you to place your sports bet, on my app. It's a much stickier customer. So you shouldn't think of the sports betting marketing is going to be materially different, than the way that we built the business, on the bricks-and-mortar side. I understand there's this race for market share and handle. And all the numbers that come out monthly right now. This is a long game. I go back to my riverboat example. I remember calling on names like, Casino Magic and Casino America and Players International Argosy Gaming, all of those ultimately went away and got consolidated into the leaders in the business. That's where we're going to end up. You are in inning one of, if you're thinking in baseball terms what ultimately will be an extra inning game. And we're assembling the building blocks, to be a winner here long-term, to attract as much market share as we can over time profitably, but make sure that it's sticky. I can make my market share in any individual market; look the way that I wanted to look to report to you at the end of the month, if I throw enough money at it. That's not how we do business. That's not how you should expect us to tackle this area.
Shaun Kelley: Thank you very much.
Operator: There are no further questions at this time. I will now hand the call back for closing remarks.
Tom Reeg: All right. Thanks everybody. We'll talk to you in 2021, after fourth quarter.
Operator: That concludes today's conference. Thank you for your participation. You may now disconnect.